Operator: Thank you for standing by, and welcome to the WiseTech Global Limited First Half 2026 Results. [Operator Instructions] I would now like to hand the conference over to Mr. Zubin Appoo, CEO. Please go ahead.
Zubin Appoo: Good morning, everyone, and thank you for joining us at our first half FY '26 results briefing. This half, we delivered in line with our expectations. Reported revenue growth was 76% and reported EBITDA margin was 38%. There are 4 key points to focus on today. First, we executed with discipline and delivered results in line with our expectations, and we are confident in our outlook. Second, we continue on our deliberate AI transformation journey. And today, we are announcing a further significant step towards that goal. We have been building toward this for some time. And as we lean in further, AI is strengthening our advantage, enabling significantly more automation and value for our customers, embedding our products more deeply into their daily operations and unlocking levels of efficiency gains across WiseTech that were previously out of reach. Third, our new commercial model is now live with CargoWise Value Packs rolled out to approximately 95% of CargoWise customers. The CargoWise Value Packs align pricing directly to value delivered by removing seat or user fees and charging only on a transactional basis. As AI reshapes labor dynamics across Global Logistics, our new commercial model ensures labor efficiencies and headcount do not negatively impact our revenue. For customers on long-term commitment agreements, the expanded functionality available through the CargoWise Value Packs, particularly embedded AI driving measurable productivity and risk reduction creates a strong incentive to transition ahead of commitment agreement expiry. Importantly, this cohort represents approximately 30% of our CargoWise revenue. So as they move on to CargoWise Value Packs, this will drive increased revenue growth. Container transport optimization is in the process of implementation with our launch partner, ACFS Port Logistics. And fourth, e2open integration is well progressed. We've taken clear steps to align products, teams and operating models with the WiseTech way, and we have achieved our Horizon 1 FY '27 cost synergy target of $50 million annualized run rate savings nearly 1.5 years earlier than planned. This half has been about disciplined delivery, positioning the business for the next phase of growth and doing the work that matters most, executing on our commercial model, integration of e2open and AI transformations while maintaining a focus on long-term customer and shareholder value. Before proceeding further, I want to address what AI means for WiseTech. AI has fundamentally reshaped how software is built and how businesses operate. We are approaching this shift with discipline, intent and a clear focus on long-term value creation while maintaining and advancing our meticulous approach to cybersecurity. Throughout our more than 30-year history, WiseTech has always been a disruptor. We lead and make changes even when challenging, knowing the benefits will lead to a stronger and better WiseTech. We have been building toward this moment for some time through the adoption of AI internally and for our customers, and we are now taking the next decisive steps to becoming a truly AI-focused organization. From late 2024 to December 2025, we conceived, iterated and launched the new commercial model, moving away from seat-based pricing toward value and transactions, a fundamental redesign of how we monetize our products in an AI-enabled world. From early 2025, we increased investment in AI capabilities for our teams and announced our AI workflow and AI management engines for customer efficiency whilst beginning to reshape our workforce and operating model to become AI-led. Today, with the step change in AI capability, particularly in software development, we are entering the next phase of that strategy. This is the continuation and acceleration of a plan that we are executing with intent, conviction and pace. Software development has experienced its most significant shift in decades. Large language models have fundamentally changed how code is written, tested and maintained. I am prepared to say this clearly, the era of manually writing code as the core act of engineering is over. What has not changed is the importance of deep domain expertise, knowing what to build, which problems matter and how global trade and logistics operate. AI amplifies the productivity of our expertise in logistics and trade, the rich data sets that WiseTech holds and the network advantage that we have built over 30 years. And it allows us to move faster from ideas to real customer value through the efficiencies it brings in software development and product creation. Since my appointment as CEO, a key area of focus has been identifying how we leverage AI to drive meaningful productivity gains and structural efficiencies across the business. Over the past 6 months, I have worked closely with our senior product and development leaders to embed AI directly into our workflows as a core operating capability. As a result, we see clear evidence that we can deliver greater output in shorter time frames with smaller AI-enabled teams. Teams are already demonstrating what is possible when this capability is embedded deeply into design, build, testing and deployment workflows. AI is executing code reviews, generating automated test cases, identifying edge cases missed by humans, resolving defects end-to-end using agentic workflows and accelerating the pace at which we can deliver value to customers. We have seen the productivity improvements firsthand in our build of our AI workflow engine and other product development work in CargoWise. We have made more than 500 role reductions during FY '26 as part of our efficiency program to align to our high-performance culture and drive AI use across the business. This phase of our efficiency program delivered net cost savings ahead of plan and ahead of schedule. We will continue to make changes across our business as we continue to redesign work in an AI operating model. We are now systematically mapping our software development workflows around these AI-enabled ways of working. The results achieved give us strong confidence that AI will materially reshape the economics of software development inside WiseTech over time. Very recent developments, particularly Anthropic's Claude OPUS 4.6 and OpenAI's GPT 5.3 codecs mean that we can now execute the next phase of this program with precision. Starting in the second half of FY '26 and continuing into FY '27, we expect to reduce teams initially product and development and customer service across the company, including e2open, by up to 50% in terms of headcount. For our product and development teams, these reductions will focus on roles where we have seen AI dramatically improve throughput. Those with deep domain expertise and the ability to deconstruct and solve complex problems remain critical to our success. And as we further enhance our ACE AI agent, an AI-powered assistant across all of our product suites, this will continue to drive increased efficiency as customers gain access to increased self-service. As part of our long-term strategic focus on higher-margin recurring revenue and our commitment to building a higher performance culture, this program will likely result in a reduction of approximately 2,000 roles in FY '26 and into FY '27. As AI capability continues to advance, we expect further efficiency gains over time. We recognize this will be difficult for our people. We're communicating these planned changes to our team following announcement to the market in line with our disclosure obligations. This decision was not taken lightly, but it is necessary to ensure we remain disciplined, nimble, competitive and future-ready. A transformation of this scale will fundamentally reshape our cost base whilst allowing for an uplift in productivity. While the impact is not expected to be material to FY '26 outcomes with execution costs likely offsetting any savings, the financial effects of the program will reflect a combination of cost savings, restructuring costs and capitalized development. Going forward, we expect a leaner, more efficient AI-led organization with a structurally lower cost base and improved scalability. Now let me directly address the idea that AI can replace the solutions we deliver to the industry, including CargoWise. As AI becomes more powerful, the value of trusted, deeply embedded systems of record operating inside regulated and rule-based workflows increases. That is where WiseTech is positioned. Our moat extends far beyond our source code. It is our global many-to-many network we have built across the global trade and logistics ecosystem, deeply interconnected participants operating in live workflows through our vertical SaaS platforms. Today, our software supports approximately 80% of manufactured trade flows through our custom solutions, over 90 million ocean containers operates across 193 countries, connects more than 400 airlines and over 150 ocean carriers alongside supply chain participants globally. We have 735 partners and support over 42,000 CargoWise certified professionals worldwide, but scale alone is not our moat. The data flowing through our ecosystem is permissioned, contractual and governed, embedded inside operational systems. Our software is not an overlay. It is the execution layer for government-regulated customs, compliance, transport and documentation across a magnitude of jurisdictions. Our embedded legal business rules, risk management tools that handle financial and trade complexity and the accumulated domain expertise cannot be replicated by prompting an AI model. As adoption accelerates, the value of our ecosystem, domain expertise, curated and trusted data and government regulatory alignment becomes even more important. That dynamic derisks the operating environment for our customers, reinforces our competitive position and cements our strong position. For SaaS businesses that monetize based on seats or users, AI will disrupt them. WiseTech made the early and deliberate decision to transition away from seat fees to focus on monetizing transactions. With approximately 95% of CargoWise customers now on CargoWise Value Packs, our pricing is aligned to value delivered through automation, throughput and scale. This positions us well because our revenue is not diluted by customers becoming more productive, including through the AI capabilities we deliver. For our customers, AI is already delivering measurable outcomes inside CargoWise today. It's ingesting documents rapidly, performing complex customs classification with higher accuracy and speed, assessing trade compliance risk in real time and automating multistep workflows that previously required significant manual effort. Over time, these capabilities will materially reduce labor, improve service quality and strengthen compliance for customers. Our AI workflow and AI management engines are focused on turning that potential into practical outcomes, faster processing, fewer errors, better compliance and lower operational cost. Businesses running on CargoWise will operate at productivity levels multiple times higher than those relying on fragmented legacy systems or in-house builds. We continue to invest deeply in innovation and development with more than $175 million invested in R&D in first half '26, accelerating the development and deployment of AI capabilities across our platforms. To summarize, we expect our AI transformation journey to deliver a leaner, more efficient AI-led organization, supporting a structurally lower cost base and improved scalability, a stronger, more deeply embedded platform as AI-driven automation, labor efficiency and risk reduction becomes even more paramount to customers, the ability to leverage our transaction-based commercial model deliberately aligned to value rather than number of users and significantly higher productivity and efficiency in software development, turning investment into customer value faster. This marks one of the most important inflection points in our 30-plus year history. We are leading deliberately and executing with discipline, strengthening our moat, enhancing customer outcomes, reshaping our workforce and positioning WiseTech for sustained long-term growth. I'll now cover our financial highlights. For the first half, revenue was in line with our expectations. We delivered total revenue of $672 million, up 76% on a reported basis on first half '25. Organically, total revenue grew by 7%. CargoWise revenue grew by 12% to $372.4 million, 9% organically with recurring revenue at 99%. EBITDA was up 31% on first half '25 to $252.1 million with a corresponding EBITDA margin of 38%. Our organic EBITDA margin rate was consistent at 51%. Underlying NPAT of $114.5 million was up 2% and free cash flow of $153.6 million was up 24% on first half '25. The Board determined an interim dividend of $0.068 per share, up 1% on first half '25, representing a payout ratio of 20% of underlying NPAT. The takeaway here is discipline. We're delivering growth, margins and integration as planned. As we indicated at our FY '25 results, we expect second half performance to accelerate as our FY '26 strategic initiatives move from launch into execution, subject to timing and take-up of our revenue initiatives. Caroline will now provide you with a detailed overview of our first half '26 financial performance before I discuss our strategic highlights.
Caroline Pham: Thank you, Zubin, and good morning, everyone. It's great to be speaking with you today. I'll start with an overview of our financial performance, which now includes the acquisition of e2open. Following the completion of the acquisition on the 4th of August 2025, there are now 2 reportable operating segments, reflecting the way we review financial and operational information to make strategic decisions. You can find further detail on our segments in Note 12 of the financial statements and in the investor presentation today. Overall for the Group, revenue was in line with our expectations. As Zubin mentioned, we grew total revenue by 76%, driven by 5 months of contribution from e2open and continued growth in the CargoWise business. E2open contributed $249.4 million to total revenue in this half. The integration is progressing well with product team alignment continuing and the sales and marketing teams integrated. Pleasingly, we achieved in January our cost synergy target of $50 million in annualized savings nearly 1.5 years earlier than planned. Total CargoWise revenue was up 12%. This included organic CargoWise revenue growth of 9%, $6.6 million from M&A in 1H '26 and a $3.7 million FX tailwind with incremental revenue from the CargoWise Value Packs launched on 1 December. Gross profit was up 61% on 1H '25 and 11% excluding e2open. Gross profit margin was 79%, down 7 percentage points, largely driven by e2open. E2open has a higher proportion of professional services revenue with higher headcount and cost of revenues. This structurally higher cost base means e2open's gross margin is lower and has a dilutive impact on our group margin when consolidated. Excluding e2open, gross profit margins were consistent with 1H '25 at 87%. Over time, as we focus on our long-term strategy of high-margin recurring revenue and have the professional services work delivered by trusted partners as well as capture continued synergies and efficiencies from AI for customer support across the group, this should lift overall gross profit margins. Reported EBITDA was up 31% to $252.1 million with the corresponding EBITDA margin of 38%, down 13 percentage points on the previous period. This reflects the e2open consolidation, restructuring and M&A costs in line with our expectations. Excluding these items and FX, organic EBITDA was up 7% and EBITDA margin was 51%, in line with 1H '25. Whilst revenue growth reflects the timing of the CargoWise Value Packs launch, which occurred late in the half as planned, margins were supported by strong cost execution with the first phase of the restructuring program announced in the FY '25 results now complete with both the FY '27 target of approximately $18 million in annual run rate EBITDA savings and the FY '26 target of approximately $9 million net cost out achieved in 1H '26 ahead of plan. E2open delivered EBITDA margins of 22%. However, this includes $30.6 million of restructuring and break costs. Excluding these items results in EBITDA margin of 34%, a 6 percentage point margin expansion versus FY '25 pro forma provided in the FY '25 results, a significant improvement in margins in the first 5 months post completion from the acceleration of cost synergy initiatives. Completing the program ahead of plan brings forward both the cost savings and execution costs, resulting in a broadly neutral EBITDA impact for the first year as initially outlined. Across the group, the achievement of cost and net savings targets ahead of plan demonstrates continued cost discipline and program execution. EBIT was in line with the prior period with earnings increase offset by a $59.9 million increase in depreciation and amortization, predominantly from e2open acquired amortization as expected with $41 million. Our net financing costs increased to $68.3 million during the half, reflecting increased interest expense from the debt facility to fund the e2open acquisition. Importantly, we've taken a disciplined approach to manage the exposure with interest rate swaps to manage volatility and provide greater certainty over future interest expense. Underlying net profit after tax of $114.5 million was up 2% on 1H '25. You can see the reconciliation to statutory NPAT in the appendix. Underlying EPS was up 2% to $0.343 per share. On this slide, you can see the split between recurring and nonrecurring revenues and between the CargoWise, non-CargoWise and e2open revenues. Recurring revenue grew by 70% or $260.2 million, reflecting $231.6 million from FY '25 M&A and e2open but excludes $4.6 million in FX tailwinds. The growth in revenue was driven by large global freight forwarder rollouts, including increased usage by new and existing customers, price increases to offset impacts of inflation and to generate returns on product investment and our new commercial model, which was launched in December 2025. CargoWise revenue was up $30.4 million or 9% organically. $20.3 million of this was from existing CargoWise customers and $10.1 million from new customers. This excludes both $6.6 million from FY '25 M&A and a $3.7 million FX tailwind. Non-CargoWise revenue included $3.5 million from FY '25 M&A and organically continued to decline as expected related to earlier acquisitions. Here, you can see overall operating expenses for 1H '26, now including e2open. As expected, the inclusion of e2open changes the shape of our cost base and our focus moving forward is managing this throughout the integration and driving efficiencies over time, accelerated and enhanced by the restructuring plans announced today, particularly in product design and development. As a percentage of revenue, expenses, excluding e2open, restructuring and e2open M&A costs were flat versus 1H '25. Product design and development expenses increased by $27.8 million on 1H '25, driven by e2open. These expenses represented 13% of revenue in 1H '26, down 3 percentage points. This reflects the impact of e2open's approach to R&D, which has a lower proportion of product design and development headcount and a lower R&D capitalization rate compared to the remaining WiseTech business. Excluding e2open, product design and development expenses were 15% of revenue, reflecting our continued investment in CargoWise innovation and development, partially offset by savings delivered through the phased restructuring program announced in our FY '25 results. Sales and marketing expenses increased by $25.5 million on 1H '25 or 1 percentage point of total revenue, reflecting the consolidation of e2open and their sales-led go-to-market approach. Our strategy is to progressively adopt WiseTech's proven product and content-led model across the combined group. Over time, this should reduce sales and marketing expenses while enhancing go-to-market effectiveness to drive deeper customer penetration. Importantly, the first step is now complete with an integrated sales and marketing model under single leadership across the group. General and administration expenses as a percentage of total revenue was 21%, up 7 percentage points versus 1H '25, reflecting 4 percentage points from restructuring costs and e2open M&A costs and 1 percentage point from the consolidation of e2open. Excluding these costs, general and administration expenses was up 2 percentage points as a percentage of revenue on 1H '25, which reflects operational investments to support future growth, M&A as well as ongoing legal and advisory, including the shareholder class action defense and other legal and Board advisory matters. Turning to the next slide. You can see our continued R&D investment in product innovation, a key differentiator and value driver for the group. Our overall investment increased by $38.3 million or 28% on 1H '25, reflecting the e2open acquisition and continued investment in CargoWise platform development. In the half, we reinvested 26% of revenue into R&D, down 10 percentage points on 1H '25 and 48% of R&D investment was capitalized, down 6 points on 1H '25. This reflects the impact of e2open's business model, which places more emphasis on sales, resulting in lower product investment and capitalization rates compared to the remaining WiseTech business. This is expected to evolve as e2open transitions towards a more product-led model and as the wider group progresses with the restructuring and future benefits of AI. Excluding e2open, 33% of revenue was invested in R&D. Capitalized development was up 54%, in line with 1H '25. There has been a reduction in the balance of development costs during the period. The WIP balance decreased by 18% from $70.3 million at December 2024 to $57.9 million at December 2025. Over the past few years, WIP continued to build as we invested in large multiyear development projects. In 1H '26, a number of those products were commercialized and as a result, costs moved out of WIP. This outcome reflects the normal progression of R&D investment with prior period spend converting from WIP into commercial products, while ongoing development investment continues. In 1H '26, we delivered 1,060 new product enhancements on the CargoWise application suite, bringing total enhancements delivered to more than 6,300 over the last 5 years from a total investment of more than $1 billion. Particularly with the restructuring announcement today, we will continue to monitor future benefits of AI to capitalize development and headcount. Moving to the balance sheet. You'll see the significant liquidity available, providing a strong platform for future growth. And as at 31 December 2025, we had a strong cash position of $358.4 million. Following the acquisition of e2open, there have been significant changes to our balance sheet. Receivables increased to $205.4 million, reflecting the contribution from e2open and revenue growth. Intangible assets grew by $2.3 billion, mostly from e2open and investment in capitalized development, partially offset by amortization. As detailed when we announced the e2open acquisition, we replaced our previous unsecured debt facility with a new unsecured $3 billion syndicated facility with $2.4 billion drawn to complete the acquisition, refinance existing debt and provide additional working capital. The $3 billion debt facility was underwritten by 9 leading domestic and international banks with subsequent market syndications successfully completed in August 2025 to a strong group of more than 15 additional syndicate banks. Net leverage at 31 December 2025 was 3.2x, and we expect to deleverage to approximately 3x by the end of FY '26 and approximately 2.5x by the end of FY '27, progressing toward our long-term target of less than 2x by August 2028. The $85.2 million increase in share capital is mainly due to new shares issued to the employee share trust to fund our employee equity program. Importantly, our employee equity program is a key component of our remuneration framework to support staff retention, attract high-quality talent and encourage long-term value creation across our workforce. As at 31 December 2025, we had over 90% of our employees holding shares or share rights, excluding e2open or 48% of all employees. As with our previous integrations where employee benefits alignment is an important step, e2open will over time be aligned with our employee equity program, which we expect to increase participation across the group. Lastly, turning to our 1H '26 cash flow performance. Operating cash flows increased by 14% to $231.7 million, demonstrating our highly cash-generative operating model. Our operating cash flow conversion rate of 92% is down 13 percentage points on 1H '25 as a result of e2open and e2open M&A costs. The e2open acquisition also resulted in a significant increase in working capital outflows related to M&A costs and trade receivables. Free cash flow was up 24% to $153.6 million and free cash flow conversion was down 4 percentage points on 1H '25 to 61%. We continue to reinvest more of our cash into long-term growth with $78.1 million primarily invested in product development and continuing to build out our data center capacity. Taking the sum of our total revenue growth and free cash flow margins, we delivered a Rule of 40 of 99% in 1H '26, up 49 percentage points driven by the first-time consolidation of e2open. As we continue to execute on our revenue initiatives, including the CargoWise Value Packs and CTO, alongside e2open synergies in line with our integration horizons and as the benefits of the restructuring actions announced today flow through, we expect cash generation to improve. So to sum up, we delivered a first half performance with revenue and EBITDA in line with our expectations, reflecting, in particular, the launch of the CargoWise Value Packs on 1 December as well as the e2open cost synergies and first phase of the restructuring program with targets achieved ahead of plan. We also exited the half with a strong liquidity position, providing flexibility to support our longer-term growth objectives and the ongoing needs of the business. I'll now hand back to Zubin.
Zubin Appoo: Thanks, Caroline. This slide captures our vision and more importantly, it reflects the business we're building. For decades, WiseTech has been the proven operating system for logistics execution, freight forwarding, customs and compliance, warehousing and cross-border movement. That remains our foundation, and it's a position earned through 30 years of sustained investment, innovation, growth and deep industry involvement. What has evolved is the scope of the problems the logistics and trade industries need solved. Logistics does not operate in isolation. Decisions are made well before goods move and consequences extend long after delivery. With the expansion of our ecosystem and particularly through e2open, we're now connecting execution, trade and planning into a single integrated environment across a far greater portion of the global trade life cycle. This shift is already visible in 3 ways. First, the types of customers we serve have broadened. Alongside logistics service providers, we now work with large manufacturers, importers, exporters, retailers, brand owners, carriers and increasingly, government agencies, organizations operating complex global multi-tier supply chains. Many of the world's most well-known brands are powered by WiseTech. Second, the problems we're solving have expanded. In addition to execution, we're addressing supply and demand planning, trade management and coordination across large networks. These are decisions that sit upstream and downstream of traditional logistics, but they directly affect cost, risk and service performance. And third, the opportunity has expanded because complexity has expanded. Global trade and logistics represent over $35 trillion of economic activity. This is still a highly fragmented, largely manual industry, and the inefficiencies are real and measurable, yet complexity is increasing daily. CargoWise and our wider product suite solve that complexity. This is not discretionary software we're talking about. Our platforms sit directly in the flow of goods, money and compliance. When systems fail, the impact is immediate and tangible, delays, penalties, inventory accumulation, working capital strain and a real impact on consumers and the economy. What we're building is different. It is a connected multisided marketplace that links these participants together through shared data, shared workflows and shared intelligence, not a collection of point system or tools, but a system designed to work end-to-end across global trade and logistics. We're able to do this because we already have the scale to invest for the long term, deep domain knowledge, data built over decades and a proven ability to integrate complex businesses and turn them into scalable platforms. This is the strategy. This is the execution, and this is why we see a very large and long-term opportunity ahead of us. This slide shows you how our 3P strategy, Product; Penetration; and Profitability, is translating into delivery and the progress we have made against our product and innovation priorities in the first half. I've said that the move to CargoWise Value Packs was a deliberate and necessary decision for WiseTech. The objective was clear: align pricing with value delivered through throughput, automation and outcomes so that WiseTech and our customers benefit as efficiency increases. That decision was and is critical to sustain long-term recurring revenue growth in an AI-driven world. While change of this nature is always disruptive, what we see across the technology industry is reinforcing why this change was necessary. Moving early has given us room to stabilize, refine and put the right foundations in place for long-term growth. We have led necessary industry-defining shifts before, and we are leading again. Monetizing seats when much of the value we deliver comes from driving efficiency created a misalignment in incentives. Encouragingly, we're seeing growing engagement with new AI capabilities across document ingestion, our AI agent, compliance-wise and classification assistant with usage up to 4x higher since launch. Pleasingly, since the start of this calendar year, we've had 2 new large global freight forwarder rollouts sign up on our CargoWise Value Packs, Blue Water Shipping and XPD Global. Looking ahead, as larger customer commitment contracts transition and usage deepens, we expect momentum to build progressively and further growth benefits for CargoWise. Turning to container transport optimization. CTO represents a significant long-term opportunity for WiseTech because container transport is a problem defined by scale, complexity and a deep understanding of network effects, not by simple automation or applying AI in isolation. The product is in the process of implementation with our launch partner, ACFS Port Logistics, one of Australia's largest landside logistics providers. Our focus has been on building a solution that works reliably at scale with a focus on long-term outcomes. We expect capability and value to build progressively with Australian product and model maturation in FY '27 and beyond. With e2open in the first half, we focused on organizational integration, efficiency gains and aligning operating models to support implementation of the WiseTech Way. Internally, for our teams, this means shifting from a sales-led business to a product-led business, embedding our software development practices, focusing on product standardization rather than customizations and integrating our sales and marketing teams and models while driving a high-performance culture. As I mentioned, in January, we successfully achieved our e2open cost synergy target of $50 million annualized run rate savings, nearly 1.5 years earlier than planned. We're also expanding the value INTTRA brings across our customer base and the broader industry. INTTRA operates the largest multi-carrier network connecting shippers and ocean liners, enabling ocean scheduling, booking, visibility, compliance and bills of lading at a global scale. As we integrate INTTRA more deeply into the CargoWise and global trade ecosystem, we see meaningful opportunity to expand the value of that network. When combined with our electronic bill of lading technology through an earlier acquisition, Bolero, we are positioned to deliver greater automation and connectivity across ocean freight, documentation and trade finance workflows. The efficiency gains across these interconnected processes are significant. In summary, we're executing well against our key priorities, progressing complex initiatives at pace and positioning the business for increasing momentum in the second half, particularly across CargoWise Value Packs and AI. Now on to penetration. Momentum continues with 4 new large global freight forwarder rollouts of CargoWise signed in FY '26 to date, with Sankyu and CJ Logistics further extending our reach into the Asian market as well as Blue Water Shipping and XPD Global, both of which have signed up since the start of 2026 on our new commercial model, the CargoWise Value Packs. We've also added an additional organic global rollout of Neptune Pacific, meaning we now have 59 large global freight forwarders with 46 in production and 13 in contracted rollouts. 11 of these 59 are in the top 25 global freight forwarders. On our global trade and supply chain penetration led by e2open, there continues to be strong penetration across some of the largest brands in the world with an extensive customer base, including Dell Technologies, NVIDIA, Ford Motor Company, L'Oreal and Schneider Electric. Both Caroline and I have already covered the points on this profitability slide, so I won't go into the detail. What it does highlight is our track record of strong financial discipline and operating leverage. And now to our guidance. Our guidance is based on the assumptions we've set out here and in the appendix of our investor presentation. We are reaffirming our guidance for FY '26, excluding the impacts of restructuring plans announced today. While the impact of this phased restructure program is not expected to be material to FY '26 outcomes with execution costs offsetting any savings in FY '26. The financial effects of the program will reflect a combination of cost savings, restructuring costs and capitalized development. Going forward, we expect a leaner, more efficient AI-led organization with a structurally lower cost base and improved scalability. In addition, based on CargoWise first half '26 revenue, we now expect the CargoWise revenue in first half, second half SKU for FY '26 to be in line with FY '25. E2open revenue is included from the 4th of August 2025. And as previously stated, we expect a reduction in services revenue, reflecting our long-term strategic focus on recurring revenue and minor customer attrition in subscription revenue for the same reason. That brings us back to the 4 key points for today. First, our first half '26 results are in line with our expectations, and we continue to expect stronger growth in the second half, subject to timing and take-up of revenue initiatives. Second, we are undergoing a deep AI transformation. We continue to embed AI across our software for our customers and our own operations. This will accelerate productivity, automation and decision-making across the industry's complex regulated workflows and across our own operations as seen by the substantial phased efficiency program we are continuing today. AI is arguably the most powerful accelerant we have seen for our competitive moat and for future innovation, and we are well prepared to lead it. Third, we continue to execute relentlessly on product and innovation. CargoWise Next and CargoWise Value Packs are now largely rolled out, establishing a commercial model aligned with automation, AI and the future operating realities of the industries we serve. Container transport optimization is in the process of implementation, building a foundation for long-term growth. And fourth, the integration of e2open is progressing well. Products, teams and operating models are aligning. Cost synergies have been achieved nearly 1.5 years ahead of plan, and the business is shifting toward a product-led scalable operation. The most important message today is that we continue on our deliberate path to being an AI-led organization. This is about delivering durable and responsible customer and shareholder outcomes. As AI reshapes how software is built and operated, scale, domain expertise, rich embedded data, sustained investment and long-term thinking matter more than ever. That dynamic reinforces the strength of WiseTech's platforms and the value we deliver to customers who choose to focus on their core business rather than replicating complex technology internally. The gap between customers who run on our platforms and those who don't will widen significantly in productivity, cost efficiency and competitive advantage. WiseTech operates at the center of global trade and logistics, industries that are large, complex and underdigitized, where trusted integrated systems of record are essential for efficiency, resilience and compliance. We have the scale, technology, data, network and execution discipline to continue investing deeply and converting that investment into long-term value. For customers, that means higher productivity, better risk management and greater automation. For shareholders, it means a business with strong recurring revenues, significantly improving efficiency and a strategy designed to deliver sustainable growth for many decades to come in a market that continues to expand. That is the future we are building. AI at our core, high performance, a deeper and wider moat, increased customer value, and we will execute with absolute focus, uncompromising discipline and relentless pace. Now over to Richard for his perspective.
Richard White: Thanks, Zubin, and good morning, everyone. From the founding of WiseTech to this very day, my focus has always been on product and commercial model innovation. My driving ambition has been to revolutionize logistics. And now with e2open, we have expanded that ambition to also revolutionize global trade. Global trade and logistics was and still is full of fragmentation, disconnected point systems, manual workloads and duplicated or disconnected data entry across many point systems with high manual error rates. As with many habitual problems, the industry thinks that's just the way it is. But we continue to challenge the status quo. We act with purpose to redesign the systems itself and the way the world does logistics. Our innovations often surprise and even shock customers. However, we ultimately delight customers once they understand the value we create. So that is what I'm going to talk to. My continued focus on accelerating product innovation, the AI journey we are on and our drive to the future, the commercial model and its AI-driven inception and how we leverage the enormous moat that we have built and how we drive AI into every facet of our product, our business and our customers' business. These days, my role and focus as Chief Innovation Officer, supported by our CEO, Zubin, and a highly motivated senior leadership team allows me to spend the majority of my time on product design, product expansion and the commercial models of our products. This has always been my strength, and I now have far greater capacity and capability to drive and accelerate these outcomes. The WiseTech Gen AI journey slide represents a major and continued focus of mine and extends from late 2022 when Gen AI finally broke through, led by GPT 3.5. The slide speaks for itself, and you can see how much innovation we have put in over this time line, perhaps too quietly, not wishing to brag about AI as many have done. We did the work, and we have the results clearly in focus. In understanding the coming revolution with AI, we also looked at the commercial model. And in November 2024, we started to plan to rebuild the commercial model to solve a number of problems, the most important of which was the fact that agentic AI would put SaaS seat-based licenses at substantial risk and negatively impact revenue. The planning for a deep commercial model change is complex, and we worked on this throughout 2025 and implemented it starting in early December 2025. There is more work to do with larger customers that are on commitment agreements, but this is already underway, and there is a major upside for those customers and for WiseTech. So we remain focused on that CargoWise Next agentic AI-led transition. The new commercial model and the CargoWise Value Packs are designed to leverage our sustainable competitive advantage and to assist our core customers to leverage CargoWise Next through driving cost, complexity and risk out of their businesses. We are already seeing a stronger value proposition, a simplified sales process and easier wins from new customers because of the new commercial model and the CargoWise Value Packs. Over time, we believe this will expand into something incredibly powerful and should drive higher rates of adoption and sales success. We are very confident about how deep and wide our moat is. However, many use the word moat far too often and without proper understanding of its real meaning. If you look at the sustainable competitive advantage slide, you will find a more in-depth understanding of how CargoWise Next and the agentic AI workflow engine and AI management engine will drive that advantage even further. None of this is slowing us down. Although in any major transition, there is a period of time to implement that change and then accelerate into the advantages that change brings. Finally, we have a little surprise. We're adding a new agentic AI credo to our vision, mission and existing credo. For those well versed in AI, you will know that you converse in a very direct and conversational way. The extraordinary thing about AI is it exhibits many qualities we normally understand as human that make it appear and act as an independent agent. With that in mind and using a number of conversations with several Gen AI agents, we have created our own agentic AI credo to give our AI agents a voice and to lay to understand what their mission is and how they will create value for WiseTech and our customers. On this slide, you will see our vision, mission and credo and now the credo of our agentic AI agents. The future is bright, and we are strengthened by the new powers we have acquired with agentic AI and other AI tools across the business in our product and for our customers. I will now pass back to Zubin.
Operator: [Operator Instructions] The first question comes from Eric Choi from Barrenjoey.
Eric Choi: Sorry, could I ask a boring guidance question, probably for Caroline. Just wondering if there's an element of conservatism in your CargoWise guidance. If we just take your SKU comments at face value, it implies revenues only grow $35 million sequentially and actually less excluding FX. So that's sort of just 8% half-on-half revenue growth, which is hard to reconcile given you've moved the majority of your customers across by revenue to CVP and most of the industry feedback is -- ARPUs are lifting double digit on the CVP. So is that just conservatism, Caroline? Or what are we seeing?
Caroline Pham: Eric, thanks for your question. So no, there's not any conservatism. I think there's a couple of things here. So the first one is what we were indicating is that the 1H 2H SKU is more aligned to FY '25, not necessarily saying that it's exactly the same. And one of the main reasons for this is that, as you might know, 1H was actually slightly ahead of expectations. And so it makes sense that the 1H 2H SKU is a bit more balanced. The key thing here, though, is that we are still reaffirming the FY '26 guidance and the CargoWise revenue growth of 14% to 21%. The extent of the second half SKU is, as we've said before, it's really dependent on the timing and take-up of our initiatives, particularly, as you noted, the opportunity to convert our larger customers currently on commitment or [indiscernible] agreements to the new commercial model.
Eric Choi: Awesome. Can I ask a quick follow-up, Caroline? Super quick. Just on -- you previously said you'll get back to 50% margins. And I'm just wondering if that's still the case with the 2,000 headcount reduction initially and then whatever else you announced across the rest of the business. Because I guess if those margin targets don't change, do you think we should -- I guess, we just get there a different way, maybe slower top line assumptions versus what we thought previously, but better cost out?
Caroline Pham: Look, so the answer is absolutely. Our plan is to get back to margins above 50%. And in fact, even before the restructuring program that was announced today, that was always our goal. And if you look at our history, we've had at least 2 times where due to the consolidation impact of acquisitions, the EBITDA margin has had a dilutive impact, but we've been successful in bringing those back up to 50% each time. And so this is no different. In terms of the path back to 50%, I would say that the restructuring program is just an additional aspect as to how we will get there, but it's not the necessary component for us to achieve it.
Richard White: I'll just add one more thing, it's Richard. The -- during the transition to the CVP, to the new commercial model, it's quite hard to do any substantial sales or signed contracts. Since that has happened, we've had a number of signings quite rapidly, and we have strong reason to believe that sales are far easier now under the new model, particularly for new customers. And I think that's going to drive long-term revenues in a very effective way. Sales has got a big impact on the long-term capability that we're delivering with CVP.
Operator: The next question comes from Bob Chen with JPMorgan.
Bob Chen: Just a question for me around engagement with your larger commitment customers. I mean we've got one of your really big customers out there publicly talking about transitioning away from CargoWise onto their own software. Like how do you sort of deal with that sort of scenario? Do you sort of try and engage with them to limit that sort of churn? And then also, I guess, given you're sort of taking a big cost out step in your product development, part of the business as well, does that sort of imply the barriers to developing the CargoWise One software is lower now and you're more reliant on the network effects across the business?
Zubin Appoo: Thanks, Bob. Look, let me go through the first part of your question first. So I'm not going to comment on any individual customers, but let's just talk about all of our customers here. We spend a lot of time with our customers, and we have strong relationships with them. The really important point to call out here is the CargoWise Value Packs and why it is such an essential ingredient here. You referenced CargoWise One, but what we're talking about here really is CargoWise Next and the CargoWise Value Packs, which are now rolled out to 95% of our customers. And remember that the 5% of customers that are not yet on that represent these very large customers that are on long-term commitment agreements. And they do not get access to the benefits that we are releasing through the Value Packs. Most importantly, those would be the AI automation and efficiency benefits. If you think about what I said during the presentation, customers that are on CargoWise Next and are using the Value Pack, particularly the 4 agentic AI capabilities and our future AI workflow engine capabilities, they will be far more productive and far more efficient than those that use other systems or spend their time building in-house systems. We've spent 30 years building this product. We've invested close to USD 1 billion over the last 5 years in R&D. And what we are building is something we are very proud of, and we are convinced it totally reshapes labor in the industry. So that's to the first part. Now to the second part of your question as to what this does to productivity and CargoWise Next build, it's important to say that this is a program that we are not just doing today. This is a journey we have been on now for quite some time. Since last year, we've invested heavily into AI tooling, AI training, showcasing for our team. And most importantly, we have a number of examples, deep examples within the team where we're seeing productivity accelerate. We're seeing language translation of the product done in much faster times. We're seeing the build of our global custom system now accelerate because of large language model coding. We're able to modernize and maintain our code bases and patch our code bases much faster. We're even seeing examples where we can solve defects and system defects system bugs nearly autonomously in some cases, using a swarm of agents. We're building tests. We're doing code reviews. We're identifying edge cases. We're obviously resolving customer service incidents now using our ACE AI agent that's been part of our product since the CVP launch. And then over the last few months, when we've seen how rapidly tools like Claude OPUS 4.5 and even OpenAI's GPT 5.3 codecs have developed, we are now ready to take that next step. In terms of what this does to CargoWise, in the short term, this probably doesn't have much impact on output, but it means we can get that same level of output with far less input. In the long term, however, this is a real breakthrough for us. This means that we can achieve far greater levels of output for far greater levels of input across product development, customer service and potentially other parts of the business as well.
Operator: The next question comes from Lucy Huang with UBS.
Lucy Huang: My question is just on the 30% of revenues that are yet to move on to CVP and presumably the larger customers. Like how early are we expecting to see some of these contracts coming up for expiry and therefore, potential for some of those revenues to move on to the CVP? And then just a follow-on, sorry, on the kind of cost question, big cost reductions coming through on headcount. Are you expecting a bit of offset through kind of AI token costs increasing as a result of increased usage. So just trying to think through how the cost base will look like in the next year or 2 post the headcount reduction.
Zubin Appoo: Thanks, Lucy. I'll answer some of that, and Caroline might chime in with some thoughts as well. So to the first part of your question, obviously, it's still quite early days. We launched the CargoWise Value Pack on the 1st of December. We migrated 95% of customers across to that Value Pack model quite quickly. And now we are spending time talking to those 5% of customers that you correctly call out, representing 30% of CargoWise revenue. Now we've had conversations with many of that cohort. Those conversations have been very positive. And as I was suggesting earlier, these AI features, particularly the impact they have on labor savings within these businesses, they're really going to be most profound in these very large customers because these large customers have generally offshore BPO business process outsourcing centers or shared service centers where they have a lot of labor that is doing quite repetitive parts of forwarding and customs and other logistics workflows. That is exactly what our AI workflow engine accelerates. It allows for that labor to be taken out over time and to be replaced using agentic AI capabilities. So that 5% of customers are very motivated to move across given that they only get access to these features through the Value Packs. The conversations have been positive. Keep in mind, these customers being larger, it takes time for them to make decisions like this and to transition across. But we remain confident and hopeful that we will migrate some of them across this financial year.
Caroline Pham: One thing I might add as well in addition to what Zubin said is you mentioned the expiry of the contracts. And so whilst that's a natural point in time for them to move across to the CargoWise Value Packs, we're not waiting for the contracts to expire. Many of the conversations that we're having with customers today are actually us taking a proactive approach, reaching out to customers whose expiries are -- could be many years into the future and actually looking at getting them to come and convert to CVP even earlier than expiration for all the reasons that Zubin said.
Richard White: I might just add a bit more flesh to that particular set of understandings. If you look at the -- if you take out the direct freight costs of a freight forwarder, you're left with the expenses in your P&L, about 70% of that expense is labor. A tiny, tiny part of that expense is software cost. If you focus on the cost of software, we're an expensive product. If you focus on the labor saving that we can create, and we're saying very strongly that within 2 years, we'll have half of the total labor, operational labor and line management labor out of our customers' businesses, obviously, it's their choice to do that, but it's entirely possible from our perspective. You're taking out 35% of their expense rate, half of the 70%. That's orders of magnitude larger than our software cost. And any company that wants to spend time building software or take a piece of software that's already in the industry and use it, will never have the capability, the moat, the integrations to airlines, shipping lines to ports, to customs authorities, penetration to 193 countries in all the territories that we go to. Those things can't be replaced and can't be built easily. That took us more than 2 decades, more than 2 decades. And we are absolutely confident that over the next 2 years, we will have an enormous impact on the labor savings in this industry.
Zubin Appoo: Something that's worth pointing out there also is there are many companies out there and many products out there that report that they can add AI capabilities that lead to labor savings on top of existing systems like CargoWise. Now I don't have that view at all. I do not think that is practical at all. What we are talking about here with our AI workflow engine and AI management engine, which includes the 4 AI capabilities we've already released is integrating AI and large language models and automation into what we call our workflow engine. That has been a part of the product now for many, many years, more than 10 or 15 years now and is at a fundamental layer of CargoWise Next. It is how all operational workflows and all operational behaviors in the system operate. By us putting AI at that layer and by us leveraging the rich data sets that we have curated over time from customers, that is what gives our AI such strength and such might compared to just sticking AI on top of a product. That is not at all what we are doing. Now for the second part of your question on AI token cost, I'll ask Caroline to comment on that.
Caroline Pham: Yes. So yes, Lucy, you're exactly right. There is definitely a factor here about investment in that we will likely need to make. For FY '26, we're not expecting this to be material. There is a level of technology investment that we've already got factored into our FY '26 guidance.
Operator: The next question comes from Nick Basile with CLSA.
Nicholas Basile: Just had a question on, I guess, Richard's comments about the ability to take out up to 50% of labor costs for your customers over time through AI. Where are your conversations at with the largest customers? Have they kind of subscribed to that vision yet? Or where do you think or when will we see a tipping point in that? And to what extent is it connected to the Value Pack rollout?
Zubin Appoo: Nick, good to hear from you. So as I was suggesting, we've had very positive conversations with a large part of that cohort. They are all deeply interested in the AI capabilities that we're building, particularly compliance-wise, AI classification assistant, document ingestion and of course, also the Ace AI agent. But more so, they are interested in what we have talked about in the AI workflow engine. They want to understand how we can help reduce labor substantially, as Richard said, by potentially 50% over the next few years by replicating parts of that workflow. So the conversations are going exceptionally well. But as I suggested, they do take time given these companies are large, they have governance, they have boards that they need to get decisions put through. But the conversations are going well. Richard, do you want to add anything?
Richard White: Yes. It's important to recognize how long we have been planning to do this and how it's integrated into the core architecture of CargoWise Next. The data layer that we represent is enormous, and it's directly integrated in the AI engine. That can't be done from an outside agent. An agent that works on the outside is not much better than RPA, which is a very trivial way of automating software. We are talking about the ability to work and operate inside the system at all levels of data, being able to communicate to the port authorities, to the carriers, to the airlines, to the customs authorities and to the users and to the customers through an AI agent. And we've got a fairly strong model for that, a very strong model for that. In fact, we've really been working that for that particular architecture for more than a year and on the automation of this for preparing for the AI journey, we've kind of predicted in about 2023 that this was going to happen. We just didn't have all of the pieces of the AI, the external LLMs that we use were getting more and more mature. And there's been a number of big breakthroughs in the last 9 months with agentic AI and more particularly with Claude code on writing code. So we've got a number of drivers here that enable us to get to that capability. We are going to embed and infuse the entire product with agentic AI capabilities and personas that know how to do the work specifically to each of the job types and work processes.
Zubin Appoo: Nick, also, just as Caroline mentioned in an earlier answer, we are reaffirming our guidance, and that means that these large customers don't need to come across for us to achieve what we are saying we will achieve. Of course, we are very confident and hopeful that some do, and that's why we're having those conversations. But there are a number of revenue drivers here. We are -- we've got 95% of our customers now, which represents 75% of CargoWise revenue on the Value Packs. As these businesses use and adopt more and more of the features in the Value Packs, and we've already seen an uptake of 2x to 4x increase in those agentic AI features, they will be able to be much more efficient and handle more business. As they handle more business, that's more volume, more transactions through CargoWise, which is obviously more revenue for us. Then the other lever is that as we grow capabilities in the Value Pack, and this is obviously a medium- and a long-term thing. But as we add more capability, again, particularly through the AI features, we'll be able to capture more of that revenue. And then as Richard said, we've already had -- we've seen an easier sign-up of customers. There's a number of customers of all sizes that have signed up since 1st of December. Obviously, there are 2 large global freight forwarders, XPD, Global and Blue Water. So those are all very positive signs that go to our growth drivers. And then, of course, if these long-term STL customers do move across sooner, that affects and accelerates that second half, first half SKU.
Operator: The next question comes from Siraj Ahmed with Citigroup.
Siraj Ahmed: So I have -- it's going to be a 3-part question on the same thing. Just first thing, just Caroline, just can you clarify that CargoWise revenue growth guidance of 14% to 21%, right? I mean we are 2 months into the second half. You've got 4 months to go. I mean even if one of the largest -- I mean, let's say, 10% or 20% converts 20% uplift in price, you still can't sort of -- you can't move the dial here. So just confirming that you're tracking towards the low end of that 14%, 21%, especially given the SKU that you mentioned. And on that, maybe one for Zubin. I mean, is that growth rate being compressed because of transitional pricing protection that you put in? And I'm also hearing incentives for disbursement billing. And third thing on that, how should we think about FY '27? Because the early discussions was this a 20% to 30% grower second half run rate implies it's like high teens, right? So just keen to understand what's changed here in this whole dynamic.
Caroline Pham: Yes. Sure. No problem. So I'll take the first one and then when we talk about the transitional pricing protection, I'll move to Zubin. So look, in terms of the CargoWise revenue growth rate range, as I mentioned earlier, we are reaffirming FY '26 guidance, which includes the confirmation of that 14% to 21% range. The comment I was making earlier around the SKU, which is what I think you're trying to get to, is to say that the second half SKU is more aligned with where we were in FY '25, but it may not be exactly that, right? And so with the potential for customers to come across to the new commercial model and because we are already in the process of discussing this with customers, as I mentioned to Lucy earlier, we're not just starting the conversation with customers now. And in fact, a few of the customers, we've been in conversations with for months now around moving them across because as we know, larger customers tend to take a bit more time and they need some more information. And so the weighting of the second half SKU, which don't forget, as you pointed out, these are the largest customers. And so the incremental revenue that we stand to benefit from when they move across is generally higher if we get a handful, which we're obviously hopeful to do. So that's really what's going to drive that second half SKU. But as I mentioned, we are still reaffirming the CargoWise revenue growth range of 14% to 21%.
Zubin Appoo: Siraj, to the second part of your question, so let's just think back to FY '25 and what we said at full year results. We held back a number of features for 12 or 18 months to include them in that CargoWise value pack. And that led to lower growth rates in FY '25. We're seeing the carryover from that, but we are very confident in getting back to that 14% to 21% growth rate, especially given that as we add value to the value pack, and again, I'll point out how important those labor savings and efficiencies are compared to the price of our software. As we introduce more and more labor savings and AI-driven efficiency in the medium term, that allows us to capture much more value from the value we deliver to customers. The incentives that you talk about and the TPP don't really come into that. The TPP was a promise we made customers that they would pay the same as what they were paying on the old agreement for a period of time. That doesn't really come into this at all.
Caroline Pham: Yes, I'll just take the last question you had as well around the FY '27 and growth rates. Obviously, look, we can't guide to what FY '27 is going to be. But what we're talking about in terms of the drivers of revenue growth, they're still the things that we talk about, right? So it's going to be new and existing customer growth. And with the points that Zubin made earlier around the new commercial model and the features that are available, customers should be more efficient, more productive and therefore, their ability to increase their own market share increases, which means they should then transact more on our system and generate more revenue. So that will be a driver. There will be the point that Richard made earlier around our ability to more easily win new customers with the new commercial model. And then lastly, it will be what we've just been talking about, which is the potential to convert those longer-term commitment [indiscernible] customers on to TPP?
Siraj Ahmed: Can I clarify, sorry. So Zubin, your comment on TPP, can you just confirm if it's a net benefit or either positive or negative to revenue growth in the second half? And if it's -- so understand it impacts it. And then Caroline, in your 14% to 21%, how is DB Schenker coming in? Because I thought that volumes are supposed to pick up based on what DSV is saying. So can you just clarify that as well, what you've assumed?
Zubin Appoo: So Siraj, on the TPP, we're not going to go into specifics about how it impacts each customer. But what I can say is that for some customers, it is a benefit for them in the sense that it reduces their CVP back to what they were paying on STL. In some cases, it pushes up what they're paying on CVP to what they were paying on STL. The main message to customers, and this has been something we've communicated quite deeply with them over the last few months directly, but also through the 4 industry association engagements that we did in December and January is that these customers now all have access to 216 features, about half of them being brand-new features, and they are paying what they used to pay under STL as if they had not transitioned. But I won't comment on how it impacts individual customers.
Caroline Pham: Yes. And then just on the DB Schenker one. So in the FY '26 guidance, it does factor in the known transition of DB Schenker on to DSV. And with the numbers that we're seeing, which we obviously can't go into detail, it's in line with our expectations, which suggests that the integration is progressing well, which is aligned with the comments they've made publicly as well.
Operator: The next question comes from Roger Samuel with Jefferies.
Roger Samuel: Can I just ask you about the new product, in particular, CTO. It looks like the contribution was quite muted in the first half and maybe in FY '26 as well. So can we expect some acceleration in CTO revenue in FY '27?
Zubin Appoo: Thanks for the question. So look, we had always suggested or at least in the last round of conversations, we had always suggested that CTO was a much smaller part of our FY '26 revenue growth. Our focus has really been deeply on CargoWise Value Packs and the AI capabilities. The good news with CTO is that we are in the process of implementation right now with our launch partner. Now I've suggested this before. This could be bigger than CargoWise, but therefore, it takes time. It is disruptive, and we are changing established ways of working, and it will take time for customers to adopt to those practices and change how they work. It's really a human change management process. But yes, as we implement with ACFS and as we process through that implementation, then we will look at other customers in Australia and also the U.S., as we've mentioned before.
Operator: The next question comes from Tom Beadle with Jarden.
Thomas Beadle: It's probably actually just a follow-up on Roger's question around CTO. I mean, obviously, it's still in the process of implementation with your partner. I guess can you just talk about some of the factors which are driving the delay to that implementation, just given we thought it would be up and running? And just given the reduction to your product development headcount, how should we be thinking about the timing of the launch of CTO in other markets?
Zubin Appoo: So to the second part of your question, I will say that the headcount reduction program phase that we're talking about today will not impact productivity in the short term. It will have a positive impact in the long term. So we are not making this change and having any expectation that it will slow us down at all. To the first part of the question, I'll answer it initially, and then I'll ask Richard to throw some thoughts in as well. CTO is a product that we have evolved over the last few years. We have added more and more optimizations to that. We have spent more time with ACFS and with the industry, understanding the pain points in port and container transport, and we have enhanced that product. The really large part of this really is the human change management process and disrupting ways of working that have been the case for 10 or 20 years. Richard?
Richard White: I would actually say 50 years. Containerization happened in the 1970s. And there's a substantial amount of inertia and we're working -- ACFS is a very good partner, and we're working to make sure that they can transition in a way which doesn't damage their existing business, but adds a substantial amount of opportunity to them. And that just takes a bit of time. It's just -- and it was over the Christmas period that a lot of this work would have happened. And as you would rightly expect, there's a lull in the Christmas period. And so most of these senior transport people take their holidays and go overseas and so forth. So there's just -- it's just a management issue of the transitional issues that we have to work through. And I just want to compliment ACFS because the industry is very reticent to change its processes because they've been around for a long time, even though they're inefficient, even though we can show that inefficiency, we've got to hold our partner harmless and actually deliver additional business to them so that they can reuse the yield that comes from the efficiency that we create. Otherwise, the efficiency is actually a damaging thing for them. It's a commercially complex thing to prove the first time. Once we have that done, I'm sure there'll be a rush to sign. But right now, we're working very carefully and very closely with ACFS, and we're very happy with the partnership.
Operator: The next question comes from Andrew Gillies with Macquarie.
Andrew Gillies: Perfect. Just 2 main ones from me. Just around the large customers yet to come across about the 30% of revenues on those larger term-based contracts. Can you maybe give some sort of insight into those conversations, Zubin, that you're having? What are kind of the things you're able to communicate to them? Like obviously, Richard went through some detail around a demonstrable ROI and saving on labor costs. But are some of those customers already taking early release products that maybe could be switched off if they weren't to come across sooner? Like can you talk to some of the drivers or levers you have in that process, please?
Zubin Appoo: It's a great question, Andrew. So you're absolutely right. We -- for some time, we had something called an EAA, an early access agreement. We've now transitioned that to a trial access agreement. And that allows customers who have not yet migrated to the CVP to access individual features that are of benefit to them or of interest to them for a very time-restricted basis. And obviously, that is a strong carrot for them to then use those features, ingrain those features into their practices and understand the benefits of those features and see the labor efficiency and risk reduction benefits of those features and then migrate over to the CVP. So a number of those customers in that 5% cohort that represent 30% of CargoWise revenue are using trial access agreements for some features, including the AI features, including Neo and a number of other features that are well liked, certificates of origin, electronic bills of lading and many other features. And those are very time restricted so that we can move them across to the CVP. To the other sort of contents of those conversations, obviously, disbursement billing, which is the ability for them to recover the cost from their customer takes up a significant part of some of those conversations. And in those conversations, we explain the benefits. We show how we have seen a number of customers adopt that practice, and those conversations also go very well.
Andrew Gillies: Perfect. And then just a second one around a lot of the start-ups we've seen popping up in the industry that might do a specific product or module. The workflow commentary that you made earlier sort of talks to the sustainable competitive advantage that you have. Are there any ways in terms of like charging for data egress or ingress to the CargoWise platform that could prevent those new start-ups from even really operating with some of your key customers?
Zubin Appoo: Look, it's a good question. I don't think we have to do that. Really, we stand behind the strength of our product. The value of having all of these modules and features and capabilities surrounded by our AI workflow engine deeply in one global operating system, that is the real advantage. These point systems, they previously had a place with the CargoWise Value Pack, where all of those modules and additional features are included in the Value Pack at no additional cost. It means customers get the benefit of having them all in one single system.
Richard White: I'll just add one more piece of detail to that. Normally, when you're doing an external AI agent, you'll build an MCP or some other form of connector that allows data integration. Now we have -- because we're a system of record, we do not allow access, writable access to the core database of the system. There are external APIs that we provide, but those, again, are very much our APIs and you have to be inside our product and you have to have the full product stack. Remember that we get paid per transaction now. There's no user count. We don't care if a customer has one user, 100 users, 1,000 users or 10,000 users. The transaction is the only thing that matters to us now. There's no overheads from a hosting perspective from a cloud perspective, and there's no overhead for customers. So as long as there's a transaction in the system, then we get paid. And because we connect to terminals and port authorities, customs authorities, shipping lines, airlines, trucking companies, rail companies and those have -- and we bought 57 businesses in order to integrate globally. We as not just a system of record, but also the moderator and the way that everybody has to connect to those sys -- is inside CargoWise. So even if someone was to build a massively capable external agent and use our APIs to connect to it, it will create a transaction in CargoWise and we'd be paid for it. However, that's not the efficient way to do it because the AI personas that we've got are tightly integrated with the data, can write back to the database and can talk directly to those authorities, can talk to the operators inside the system and can talk to the customers in a sort of self-service model, very typically to how airlines and banks are now doing those sort of things. with customers. We have got -- we've been working on this for a long time now, and the AI piece just gives us additional advantage. And I'll be a bit more bold in terms of the software development. Yes, it is a hard thing to do to transition the company from a model where most of the code is written by humans to a model where most of the coding is an orchestration of a very senior person who is a product person or a software architect. But that is the new model. And that model could actually have efficiencies of maybe 2x to 10x more than what you can get out of any software development team. So individually, people can do far, far more work with AI than they could have done even 9 months ago. And we're certainly on that journey, and we're very closely connected to what we're doing with Claude Code, what we're doing with ChatGPT, what we're doing with Gemini. And there's a huge competition here. There's an arms race going on between the LLMs to make the most efficient thing they can use. And we can take those efficiencies and plug them into a fundamental moat that we have and it just really can't be displaced, but it can be accelerated.
Operator: The next question comes from Paul Mason with E&P.
Paul Mason: Just wanted to ask for a couple of clarifying points around the transition pricing protection mechanism. So the first thing, just with the really large forwarders that had quite significant discounts, some of which obviously you have transitioned across to the new model, would they be very likely to be on TPP and therefore, like the actual sort of price rise associated with the new commercial model won't be embedded in second half yet and maybe won't come for a couple of years. I just want to clarify that around like what's happening with the really large ones that would have -- some of them maybe had 50% discounts and things like that at point in time. And then the second element I wanted to just get some guidance on was just in terms of how disbursement works with TPP because based on the TPP, it would appear that basically everybody's imputed price per transaction is still different. So what are you sending through to the final invoice?
Zubin Appoo: Yes. Good questions, Paul. So to the first part of your question, no, it's not correct to say that TPP is sort of subduing revenue for those large customers. The TPP was a commitment to some customers to support the transition period. There are a number of customers that have seen price rises. And that, of course, is one of the ways that we are talking about our revenue growth in the first half and into the second half. To the second question about disbursements and what that looks like. Let's just think back to the model before we had community pricing and before we had the CVP. We had a quite complex billing algorithm where there were many overheads, including seat fees, including cloud hosting fees and then many different transaction fees rather than just a single transaction fee. And our customers were doing whatever they wanted with that. Some were treating them as overheads, some were passing through an average, some were trying to figure out how to sum them up and pass them through. Regardless of whether a customer is now on the TPP or not on the TPP, they can now pass through part or all of that transaction very clearly. So for customers not on TPP, they can recover the whole cost as a disbursement. For customers that do have TPP, they can recover a large part of the cost, that is the transactional part very easily. What they do with the TPP is exactly what they were doing with the pre-CVP pricing as well. This makes it a much better proposition for them in all ways.
Operator: The next question comes from Max Andrews with Unified Capital Partners.
Max Andrews: I was just going to ask on the cost out. So obviously, 2,000 headcount reduction is a big number that's going to get taken out of the business on a gross impact versus the net impact you're saying. Could you just sort of unpack the execution costs and whether those costs are sticky going forward?
Caroline Pham: Yes. Sure. So as we mentioned when we reaffirmed guidance, it does exclude the impact of this program, but we aren't expecting there to be a material impact to FY '26. And that's really because there's a number of factors that you have to take into account. There's the cost savings, as you say, but also the restructuring costs. So there's a few things in there in terms of termination and other support and then also the impact of capitalized development as well. And so we've not guided to what those numbers will be, but we have said that for FY '26, we don't expect them to be material.
Operator: The next question comes from Sriharsh Singh from Bank of America.
Sriharsh Singh: Three quick questions from my side. One on e2open. How should we think about the growth in subscription revenues into FY '27 is mid-single-digit revenue growth for e2open's subscription part of things doable? Second question, any incremental customer feedback? Or how has the latest customer feedback been on disbursement, the adoption of disbursement billing on CVP? Are they warming up more to it after 2 or 3 months, there was some initial pushback. And lastly, headcount reduction, 2,000 people, is it more -- any color on whether it's more concentrated into e2opens business? Or is it more concentrated into [indiscernible]
Zubin Appoo: Thanks for the question. So for the first part, what we have said since the acquisition of e2open is that we are very focused on what we call Horizon 1. Horizon 1 was the $50 million annualized run rate cost savings, which we've achieved nearly 18 months ahead of schedule. It was really embedding what we call the WiseTech Way into how e2open builds products and delivers value to customers. That is moving from customization to standardization. That is aligning our commercial models, and that's strengthening relationships with customers and with the industry. Now that will have some short-term impact on customers and on revenue. But in the medium term and in the long term, this is how we build long-term sustained value. To the second part of your question, which was the adoption of disbursement, the adoption of disbursement is in line with where we thought it would be sort of 2.5 months in. We are seeing a number of customers, both in forwarding and in brokerage disburse and recover the fees from customers. Obviously, it's a disruptive change. It's not how they have treated software fees in the past, but it is actually exactly how they treat many, many other third-party charges like port charges, customs charges, duties, taxes, storage, detention, demurrage. So it is being adopted at the pace that we thought it would be adopted. And then to your last question about headcount reduction and where it is concentrated. Look, we are -- we see the company as one company. So we are talking about the 50% reduction -- up to 50% reduction in product and development and customer service across the entire WiseTech. And we will then look at all functions across the entire business.
Operator: This concludes our question-and-answer session and does conclude our conference for today. Thank you for participating. You may now disconnect.